Executives: Magdalena Moll - Senior Vice President of Investor Relations Hans-Ulrich Engel - Chief Financial Officer, Member of the Board of Executive Directors, Chairman of BASF Corporation and Chief Executive Officer of BASF Corporation Manfredo Rübens - 
Analysts: Lutz Grueten - Commerzbank AG, Research Division Paul Richard Walsh - Morgan Stanley, Research Division Thomas Gilbert - UBS Investment Bank, Research Division Andreas Heine - Barclays Capital, Research Division James Knight - Exane BNP Paribas, Research Division Andrew Benson - Citigroup Inc, Research Division Jeremy Redenius - Sanford C. Bernstein & Co., LLC., Research Division Tony Jones - Redburn Partners LLP, Research Division Peter Clark - Societe Generale Cross Asset Research Laurence Alexander - Jefferies LLC, Research Division Christian Faitz - Kepler Cheuvreux, Research Division Mutlu Gundogan - ABN AMRO Bank N.V., Research Division Jaideep Pandya - Berenberg, Research Division Oliver Schwarz - Warburg Research GmbH Laurent Favre - BofA Merrill Lynch, Research Division Patrick Lambert - Nomura Securities Co. Ltd., Research Division
Operator: Good morning, ladies and gentlemen. This is Chorus Call conference operator. Welcome to the BASF Analyst and Investor Conference Call and the Interim Report First Quarter Results 2015. [Operator Instructions] This presentation may contain forward-looking statements that are subject to risks and uncertainties, including those pertaining to the anticipated benefits to be realized from the proposals described herein. The forward-looking statements may include, in particular, statements about future events, future financial performance, plans, strategies, expectations, prospects, competitive environment, regulation and supply and demand. BASF has based these forward-looking statements on its views and assumptions with respect to future events and financial performance. Actual financial performance could differ materially from the projections in the forward-looking statements due to the inherent uncertainty of estimates, forecasts and projections, and financial performance may be better or worse than anticipated. Given these uncertainties, readers should not put undue reliance on any forward-looking statements. The information contained in this presentation is subject to change without notice, and BASF does not undertake any duty to update the forward-looking statements and the estimates and assumptions associated with them, except to the extent required by applicable laws and regulations. I would now like to turn the conference over to Magdalena Moll, Head of Investor Relations. Please go ahead.
Magdalena Moll: Yes. Thank you very much, and good morning, ladies and gentlemen, and welcome to the BASF First Quarter 2015 Conference Call. In Q1 2015, our Chemical business delivered strong earnings despite a slow start into the year. Earnings in Oil & Gas declined slightly as higher volumes could not offset the negative effect of the oil price decline. Agricultural Solutions was able to maintain the positive momentum of the fourth quarter 2014. With me on the call today to explain the results are Hans-Ulrich Engel, our Chief Financial Officer; and Manfredo Rübens, President of the Finance division. Hans will start to explain the financial highlights and important milestones, then Manfredo will review the segment results of the first quarter. Hans will conclude with the outlook for 2015. And then, ladies and gentlemen, both gentlemen will be happy to take your questions. Today's conference call is limited to 1 hour since our Annual General Meeting is starting right after this call. We already posted a longer version of the speech on our website at basf.com/share, together with our press document. And with this, I would like to hand over to Hans.
Hans-Ulrich Engel: Thank you, Maggie. Good morning, ladies and gentlemen, also from my side, and thank you for joining us. I'll start with giving you a brief overview on our quarterly results. Since our last reporting date in February, the macroeconomic environment has not materially changed. In Europe, the economies continue to show a mixed picture. While many indicators point to strengthening growth in Germany and Spain, momentum in Italy and France is still weak. The macro environment in the U.S. was softer and, as we heard yesterday, actually a lot softer than expected due to the harsh winter and the strong U.S. dollar, which had a negative effect on export performance. Concerns about economic growth in major emerging markets such as China and Brazil persist. Russia has entered into recession. India, however, is showing strong growth. Overall, we expect that global economic growth remains on track and can gain momentum as the year progresses, supported by lower energy prices and interest rates. Compared to the first quarter of last year, the euro depreciated significantly against the U.S. dollar and most other major currencies. Moving to BASF's business performance in Q1 2015 in comparison to the restated numbers for the same period -- time period of last year. First, let me take a closer look at the volume development. In the 3 segments of our Chemicals business, volumes did not quite match the high level of the prior year first quarter when we had 7% volume growth compared to minus 1% this year. Many of our operating divisions experienced a wait-and-see approach of their customers in January and February as a result of the lower oil price. However, volumes picked up towards the end of the quarter. Our other 2 segments, Agricultural Solutions and Oil & Gas, reported significant volume increases. Let me now comment on the financial performance of BASF Group. Sales in the first quarter increased by 3% to EUR 20.1 billion. We saw an 8% price decline following the sharp drop in the oil price. This was nearly offset by pronounced positive currency effects. EBITDA slightly declined by 2% to EUR 2.9 billion. EBIT before special items came in almost on prior year level and reached EUR 2.1 billion. Except for Oil & Gas, earnings improved significantly in all operating segments. This was supported by positive currency effects. Additional earning support came from lower raw material cost, strict cost management as well as restructuring measures. We improved our margins in the Performance Products and Functional Materials & Solutions segments. Let me briefly comment on the earnings development in Other, which was negatively affected by several factors, above all, the higher provision for the LTI, the long-term incentive, program. The BASF share price increased in Q1 2015 from EUR 69.88 to EUR 92.55 and has clearly outperformed all major indices. With a surge of 32%, it surpassed its benchmark, the MSCI World Chemicals Index, by more than 20 percentage points. This contributed to an increase in the LTI provisions by EUR 230 million compared to Q1 2014. The negative currency result and the missing earnings due to last year's divestiture of our shares in Styrolution and ELLBA Eastern further contributed to the earnings decrease in Other. EBIT decreased by 10% to EUR 2.0 billion due to negative special items of EUR 75 million, which includes a provision of about EUR 100 million for the anniversary bonus we paid to our employees. In the first quarter of 2014, special items had totaled plus EUR 109 million, driven by the gain from the divestiture of selected E&P assets in the North Sea. Income taxes grew by 6% to EUR 543 million. The tax rate increased to 29.7% from 25.1% in the first quarter of 2014, when we incurred a tax-free disposal gain for the aforementioned transaction in Oil & Gas. At EUR 1.2 billion, net income came in 20% lower. Adjusted earnings per share amounted to EUR 1.43 in Q1 2015 versus EUR 1.63 a year ago. We generated a strong operating cash flow of EUR 2.4 billion, exceeding the previous year's level by almost EUR 650 million. Free cash flow reached EUR 1.1 billion compared to EUR 800 million in Q1 of 2014. Ladies and gentlemen, let me briefly highlight a few milestones of the first quarter 2015 on our path to implement our "We create chemistry" strategy. As announced in February, we made the final investment decision together with our partner, Yara, to build a 750 kt ammonia plant at the U.S. Gulf Coast. Located on our Verbund site in Freeport, Texas, the plant will satisfy our internal demand and strengthen the competitiveness of our polyamide-6 value chain. We expect completion of construction by the end of 2017. We continue to look into other shale gas-related opportunities, such as the methane-to-propylene project in Freeport, as already communicated. Furthermore, we intend to build a new world-scale plant for the 2-Ethylhexanoic acid, wow, that's a difficult one, Ethylhexanoic acid, at the site of our joint venture with PETRONAS in Kuantan, Malaysia. Construction is expected to begin in Q2 of this year. Start-up is planned for Q4 of 2016. In Caojing, China, we completed construction of our new polyamide-6 plant. This investment reduces our merchant market exposure of caprolactam, which is used as the key raw material, and it allows us to participate in the growing Chinese engineering plastics market with local production. In our Performance Products segment, we will enhance BASF's leading position in PVP specialty primarily sold into the pharmaceutical, personal and home care sectors. We plan to increase global production capacities by up to 6,000 metric tons over the next 4 years. We will do so by revamping existing plants in Ludwigshafen, Germany and Geismar, Louisiana and introducing the PVP technology at our site in Shanghai, China. And with that, I will turn it over to Manfredo, who will comment on the segments.
Manfredo Rübens: Sales in Chemicals came in considerably lower as positive currency effects could not fully offset significantly lower prices, slightly decreased volumes and structural effects. Especially in Europe, we experienced a margin improvement due to lower raw material costs. EBIT before special items went up significantly. Before moving on to the next segment, please allow me to remind you that a number of new plants in Chemicals are expected to come onstream in 2015. We project the bulk of the forecasted EUR 150 million to EUR 200 million in start-up cost to materialize during the remainder of the year. Sales in Performance Products were up slightly. While volumes and prices slightly decreased, we experienced significant positive currency effects. EBIT before special items increased considerably due to margin improvements and restructuring measures. Sales in Functional Materials & Solutions came in considerably higher. We saw good demand globally, especially from the automotive industry. However, a decrease in precious metals trading led to slightly lower volumes. Prices were almost stable. Positive currency effects supported both sales and earnings. Combined with improved margins, EBIT before special items increased strongly. We incurred a positive special item due to the divestiture of our EPS business in the Americas. Agricultural Solutions had a good first quarter. Sales increased significantly. We experienced high demand for our products in all indications and were able to grow volumes by 6% while raising prices by 4%. Our business particularly profited from the good early demand in Europe and North America. Sales also benefited from currency effects. The start-up of new plants in China, Brazil and Germany led to higher fixed cost. Nevertheless, EBIT before special items grew considerably. Sales in Oil & Gas increased considerably. Volumes in Exploration & Production and Natural Gas Trading were up significantly. The average price for Brent crude oil decreased by 50% from USD 108 per barrel in the previous year's quarter to USD 54 per barrel in the first quarter of 2015. Fixed cost increased. EBIT before special items declined from EUR 466 million to EUR 437 million. Net income decreased by 16% to EUR 359 million. In the same period last year, we incurred a onetime gain from the divestiture of selected E&P assets in the North Sea. Sales in Other decreased significantly, mainly on lower volumes. The outage at ELLBA Moerdijk had a negative impact. The divestment of our shares in the ELLBA Eastern joint operation in Q4 of 2014 as well as the decrease in raw material trading also affected sales negatively. EBIT before special items declined strongly from minus EUR 203 million to minus EUR 630 million. This earnings decrease was mainly driven by a higher provision for our long-term incentive program, which was caused by the strong share price increase in Q1 of this year. Negative currency results, the already mentioned other effects and the divestiture of our shares in Styrolution last year also contributed to the earnings decline. EBIT declined as well, as the anniversary bonus for our employees resulted in a special item of about EUR 100 million. Let me now come to the cash flow development. Cash provided by operating activities was EUR 2.4 billion in the first quarter of this year, an increase of almost EUR 650 million versus the first quarter 2014. In particular, lower inventories led to a reduction in net working capital. We recorded a cash inflow of EUR 309 million. At EUR 1.5 billion, cash used in investing activities exceeded the prior year figure by EUR 700 million. Payments related to tangible and intangible assets amounted to EUR 1.3 billion. Acquisitions and divestitures resulted in a small net cash inflow. In the previous year's first quarter, we have realized a significant cash inflow from the divestiture of selected E&P assets. Financing activities led to a cash outflow of EUR 400 million compared to an inflow of EUR 389 million in Q1 2014, which was related to the issuance of bonds. Free cash flow increased by EUR 341 million and came in at more than EUR 1.1 billion. And now to the balance sheet. Compared to the end of 2014, total assets grew by EUR 7.7 billion to EUR 79.1 billion. More than half of the increase was caused by currency effects mainly related to the appreciation of the U.S. dollar. Investment projects contributed to an increase in the value of property, plant and equipment by EUR 2 billion to EUR 25.5 billion. We experienced a substantial increase in accounts receivable of EUR 2.4 billion. This was mainly caused by the seasonality -- seasonally strong business in Agricultural Solutions. Cash and cash equivalents increased by EUR 0.6 billion to EUR 2.3 billion. On the liability side, provisions for pensions and similar obligations increased by EUR 2.3 billion due to, again, lower discount rates. Financial debt rose by EUR 0.7 billion to EUR 16.1 billion. Net debt increased by roughly EUR 100 million to EUR 13.8 billion. Equity grew by EUR 1.8 billion to EUR 30 billion. And at 38%, our equity ratio remains on a healthy level. Our target to maintain a solid A rating is unchanged. And with that, back to Hans.
Hans-Ulrich Engel: Thank you, Manfredo. Let me come to the outlook now for the year 2015. Overall, we expect to perform well in a market environment that remains volatile. Our macroeconomic assumptions for the year remain unchanged. And today, we reconfirm our 2015 outlook for BASF Group as given on February 27 of this year. Overall, we will continue to grow volumes and sales in 2015. Sales will likely be slightly higher than in 2014, mainly driven by higher sales in Functional Materials & Solutions and Performance Products segments. We expect EBIT before special items to be on the level of 2014. Higher earnings in our Chemicals business and in the Agricultural Solutions segment are anticipated to compensate for considerably lower earnings in Oil & Gas. We aim to earn again a substantial premium on our cost of capital, but on a lower level than in 2014 when we had a number of special effects from divestitures. I thank you for your attention, and we are now happy to take your questions.
Magdalena Moll: Yes. Thank you, Hans and Manfredo. And with this, I would like to open the call for questions.
Magdalena Moll: [Operator Instructions] So I would like to start with Lutz Grueten from Commerzbank. Good morning, Lutz.
Lutz Grueten - Commerzbank AG, Research Division: It's regarding the cash flow of plus 36%. You have mentioned that inventories have been reduced in the first quarter. Is it fair to assume that there's a further reduction on the way on net working capital when the maintenance shutdowns will occur? And could you please remind us when these planned maintenance shutdowns will show up in the second or third quarter?
Hans-Ulrich Engel: Yes. Lutz, this is Hans. Thank you for your question. Yes, as you noted, we had a nice cash inflow as a result of what we announced by way last year, a good management of our working capital. We've seen the inventory reductions that we wanted to achieve in Q1. We set ourselves clear targets for the entire year with respect to working capital management. And as I said, the result of that you see already in Q1. Expect our turnarounds to be relatively even distributed over the 4 quarters of this year. There is nothing -- let me quickly think about that. No, relatively evenly distributed. And yes, of course, we will have to manage our inventories accordingly to prepare for the respective shutdowns. But you shouldn't expect anything there out of the ordinary.
Magdalena Moll: Okay. Our next question comes from Paul Walsh from Morgan Stanley.
Paul Richard Walsh - Morgan Stanley, Research Division: My question was pretty simple. I mean, if I look at the divisional beats across the first quarter, they're obviously very, very strong, and I'm just wondering what's holding you guys back from projecting a more positive message around margin development and EBIT development this year. I understand it's early in the year, but I'm just curious to know if any of that strength across the divisions is somewhat temporary, or you're expecting it to fade. Really, that's the only question I had.
Hans-Ulrich Engel: Yes. Paul, excellent question. Let me answer it as follows. You've seen in Q1 a lot of, what I call, noise. You can also call it volatility. If we look at raw material price developments, and you know how our upstream segments are depending on raw material price developments, that happened very favorably in January, not so favorable in March -- or sorry in February, then again favorable in March, so interesting development there. You've seen what the oil price has done. In the meantime, it's moved to -- I think, yesterday, the close was at $65, $60, somewhere in that order of magnitude. We've seen naphtha prices all over the place, $370 as a low; $550, which is the current price, as a high. So what do I want to say with all of that? There is no room to actually change our guidance at this point in time. We've delivered what I would call a good first quarter in a volatile environment. We've seen actually that demand also showed an interesting pattern. January and February, relatively weak, and then we've seen an uptick in demand in March. That's an interesting one because in, I'd say, almost all prior quarters, the development was a strong first month and then a weaker third month in the quarter. So a lot of factors out there that lead us to say we stick to our guidance, and we feel good with that.
Paul Richard Walsh - Morgan Stanley, Research Division: And just did you say good pickup in China after new year or not?
Hans-Ulrich Engel: Particularly, how do I put that, maybe not as pronounced as we would have expected there.
Magdalena Moll: So we are now moving on to the next question from Thomas Gilbert, UBS. Good morning, Thomas.
Thomas Gilbert - UBS Investment Bank, Research Division: I have a very boring one. On the currency, is it -- sorry if everyone knows this and I don't. On the currency side, is it fair to say that the segments get the fully unhedged benefit of the currency whilst you lump all the unfavorable hedging of the company in the Other line? And will you reallocate that back at the end of the year? And how should we think about -- if the exchange rates prevail, I mean, what kind of -- how are the hedges rolling off this year? And how does it affect the Other line? Sorry for this very technical question.
Hans-Ulrich Engel: Now Thomas, I would not call that a boring question at all because you see what currency has done in the first quarter. It's an excellent question, and Manfredo is here to answer it.
Manfredo Rübens: Yes. To your first part of the question on the -- whether the segments get the unhedged result, that is not right because, think about this, the segments can basically -- or the -- our operating divisions can basically internally hedge their exposures the way they deem right. So at the end of the day, we take those exposures then against the corporate exposure. And from a corporate perspective, we then hedge what we believe the hedging position of BASF should be overall. So the segments are basically running also their exposures. Some of those aspects you then see reflected in Other, as you rightfully stated. But be reminded that all booked exposures that we have are fully hedged, and the effects that you, at the end of the day, see in Other relate predominantly to future, to our, yes, planned exposure hedging that we also have describe in -- at earlier times.
Thomas Gilbert - UBS Investment Bank, Research Division: Bottom line is your segment cash should have the currency forecasting at BASF.
Magdalena Moll: Good. Now we move on with the next question from Andreas Heine from Barclays.
Andreas Heine - Barclays Capital, Research Division: It's basically again on FX. You have given an FX sensitivity for the year, so $0.01, EUR 50 million. If you would use this sensitivity for the first quarter, would that give right -- the right understanding what the FX impact in the various segments has been? Or have you seen different movements in the first quarter?
Hans-Ulrich Engel: Andreas, this is Hans. General answer is, does Q1 reflect what we give as general guidance for the U.S. dollar? And be reminded, this is for the U.S. dollar only. Yes, it does clearly reflect that. But then when you look into the various segments and the various operating divisions, the exposures can differ there depending on where they have their respective businesses and then in what currencies they do their businesses. But we fully stick to the $0.01 on a full year -- USD 0.01 to the euro on a full year basis equal to EUR 50 million in EBIT.
Magdalena Moll: Now we're coming to the next question from James Knight, Exane.
James Knight - Exane BNP Paribas, Research Division: I may have a boring question as well. If you look at the cash flow, I've noticed that you mentioned higher provisions, especially for rebates. Is -- are those rebates concentrated in any segments? Am I being a bit too cynical maybe linking them with the very strong start in ag?
Hans-Ulrich Engel: That's not at all cynical, and you made the right -- you came to the right conclusion there. The rebate programs are typical in the ag business, and they are primarily in North America. And I think that pretty much answers it.
James Knight - Exane BNP Paribas, Research Division: Okay. Are they significantly higher year-on-year? I mean, why comment on it otherwise?
Hans-Ulrich Engel: They are not significantly higher, the rebates, than in prior years. They are slightly higher, reflecting the higher sales and, again, the impact of foreign exchange.
Magdalena Moll: We are now moving on to Andrew Benson from Citigroup.
Andrew Benson - Citigroup Inc, Research Division: I just wanted to explore the agriculture a little bit more because your performance has been standout relative to the others. And I was wondering how you would see the rest of the year or whether there's any particular aspect of phasing which drives the business to the first quarter as opposed to the first half or whether you simply think that the new products are helping you outperform.
Hans-Ulrich Engel: I think, Andrew, first of all, I should reiterate what we always say, just looking at 1 quarter doesn't give you the full picture. We had a very good start into the season in Europe, but also in North America. We've seen a volume increase. We've seen price increases. But I'd say, to really come to conclusions here, too early to say. The season in the Northern Hemisphere is in full swing. Let's take the first 2 quarters and then take a look at what kind of development we see overall. But we're definitely happy about the performance that we've seen in Q1. Now let me maybe say one more thing with respect to not just looking at 1 quarter. You may remember that we had not such a great performance in Q3 of last year, and we got actually hammered for that. And then we have had a very good Q4, and we have what looks in comparison to competition like a good to very good Q1 2015. So that forms a solid basis for what we had set with respect to our expectations for the full year, which is to see a nice increase in earnings in our ag business. And what is certainly contributing to that are launches that we made in, let's say, the relatively recent years. Xemium comes to mind. Kixor comes to mind. So we have a -- we have good product offerings, in particular, good product offerings in herbicides with Kixor, but also with Dicamba. And that seems to be a good basis to go forward with, and we certainly keep investing and funding R&D in our ag chem business. In addition to that, seeing the overall development with respect to soft commodity prices, we will take the measures that we need to take to make our business as effective and as efficient as possible, and that will also include fixed cost containment measures.
Magdalena Moll: So we're now moving on -- Thank you, Andrew. We are now moving on with the next question from Jeremy Redenius from Bernstein.
Jeremy Redenius - Sanford C. Bernstein & Co., LLC., Research Division: This is Jeremy Redenius. Could you talk about the price developments throughout the quarter? I'm particularly interested in Performance Products, Functional Materials and the ag business.
Hans-Ulrich Engel: Price developments in Performance Products and in Functional Materials & Solutions. We've seen, overall, Jeremy, slight price declines in Performance Products, and it's what we explained already when we did our annual press and analyst conference in the end of February. The further upstream you are, the closer your pricing is related to raw materials. The further downstream you go, the lower the impact from raw material, in particular, oil price-related pricing. And you see exactly that. In Performance Products, we have a slight price decline of minus 3%, which can be explained with what we're seeing in raw material pricing. In Functional Materials & Solutions, we have a price decline of minus 1%. Now when I take a look at -- a closer look at what's happening there in Functional Materials & Solutions, then that price decline is almost 100% driven by precious metal pricing. You've seen how precious metal have developed with platinum in the EUR 11.50 range, so lower than where we were last year, and that's what you see reflected in the price for the entire segment. And in Agricultural Solutions, which I would describe as the furthest downstream segment, you see a nice price increase there of 4%. And I think that's probably -- that's what I can provide as an explanation.
Jeremy Redenius - Sanford C. Bernstein & Co., LLC., Research Division: Sorry, I was also asking, just was there -- particularly on Performance Products, was there deterioration through the quarter? Or was it straight down 3%? I was just more interested in the trajectory through the quarter.
Hans-Ulrich Engel: No, we didn't see price decreases through the quarter. No, I wouldn't say any type of significant price movement there.
Magdalena Moll: Now the next question is coming from Tony Jones from Redburn.
Tony Jones - Redburn Partners LLP, Research Division: Just wanted to go back to currency again. A quick calculation this morning suggests that the gain from euro-dollar was around about EUR 250 million, EUR 260 million in the quarter and then offset by around EUR 50 million from other currencies, so a strong net gain around EUR 200 million dropping through to EBIT. Does that sound reasonable? And should we be modeling that sort of effect drifting also into Q2?
Hans-Ulrich Engel: The EUR 250 million figure that you mentioned, Tony, I'd say, sounds very reasonable to me.
Tony Jones - Redburn Partners LLP, Research Division: And the offsets, the EUR 50 million offset from other currencies, or is there no offset?
Hans-Ulrich Engel: The EUR 250 million is -- I think, is a good figure for the entire EBIT impact that we see an improvement.
Tony Jones - Redburn Partners LLP, Research Division: All right, even better than I thought.
Magdalena Moll: So then we are moving on to Peter Clark, Société Générale.
Peter Clark - Societe Generale Cross Asset Research: It's just looking at the Asia margin again. Obviously, it's had a lot of focus. For the first time, you're up year-on-year for quite a while. I've heard what your comments are about the volatility, what's happened in China, slightly weaker than expected after the new year, but obviously very strong into it. Just wondering how you see that moving ahead. And I'm just wondering, within that, actually, whether there's some ForEx benefits on the Asian business that helped the margin such the way it reports.
Hans-Ulrich Engel: Yes. Thanks for your question, Peter. The margin in Asia, first of all, we see, in certain areas, margin improvement. If I think, for example, about the cracker margin, that has developed nicely in Asia in 2014. And when I say nicely, I look at the improvement. Are we happy with the margins in Asia, the cracker margins? No, we're not. But they have improved through the course of 2014. They are higher in Q1 than they were in prior year quarter. They are actually a bit lower than what we've seen in Q4. There are other areas, and this is, in particular, in the downstream areas, so in our Catalysts business, but also in our Coatings and in Performance Materials business, where we see margin improvement. Currency plays a role also in the margin improvement, but does not fully explain what we've seen. So there is also the market and the demand supporting overall the margin improvement that we've experienced in Asia.
Peter Clark - Societe Generale Cross Asset Research: Okay. And you're confident that sort of thing can continue.
Hans-Ulrich Engel: We are certainly working on that.
Magdalena Moll: The next comes from Laurence Alexander from Jefferies. Good morning, Laurence.
Laurence Alexander - Jefferies LLC, Research Division: Can you clarify 2 of your segment comments? You flagged North America cracker margins being down. Was that just Port Arthur? And then on the comment about MDI margins, was there any regional dispersion there?
Hans-Ulrich Engel: Yes, the comment on North America relates to the Port Arthur cracker. In fact, there are 2 impacts that were caused by the cracker in Port Arthur. We had technical issues for about 4 weeks where the cracker couldn't run at full capacity, and then we've experienced an environment where cracker margins came down significantly from the high they had in, I'd say, if I recall correctly, Q3 of last year. Cracker margins are, compared to the high, in the order of magnitude of 55% to 60%. So that's the -- these are the 2 impacts from the Port Arthur cracker. And sorry, the second part of your question was what again?
Laurence Alexander - Jefferies LLC, Research Division: Just on the comments around elevated MDI margins, was there any regional differences?
Hans-Ulrich Engel: Yes, there are regional differences. Asia, I would describe as weak. Europe, we saw a strengthening of the MDI margin, and North America margin continues to be on a relatively high level.
Magdalena Moll: So now our next question comes from Christian Faitz from Kepler Cheuvreux.
Christian Faitz - Kepler Cheuvreux, Research Division: Could you give us a rough quantitative idea how the positive effects element contributed to the profit improvement in your 3 chemical divisions, so on the EBIT line?
Hans-Ulrich Engel: Christian, this is an excellent question. In fact, I think the fact that we are providing the FX impact on an EBIT level, that shall actually be sufficient. I would not like to go and break this down on the segments. But let me say this on the -- yes, you see and we provide by segment the FX impact, and that may help you in doing the calculations.
Magdalena Moll: So the next question comes from Mutlu Gundogan from ABN AMRO.
Mutlu Gundogan - ABN AMRO Bank N.V., Research Division: Some -- a question on the Petrochemicals business. You had some production issues in ELLBA that's known and also in Port Arthur. Could you give us the impact on the EBIT of those production issues? And then relating to the plant in Moerdijk, when will you expect that plant to restart again?
Hans-Ulrich Engel: On the ELLBA plant in Moerdijk, indeed, it is mid-2015. But let me check that, and I'll get back to you in a second with the correct answer. As you may know, we're not the operator of the plant, so that's why I just want to make sure that I speak to whatever line was given there by the operator. And please understand -- oh, no, here, I have the information, end of Q1 2016. So let's say end of Q1, beginning of Q2 2016. And please understand that I will not give you details on the impact of the outage in Moerdijk and the Port Arthur cracker. Expect something that in combination of the 2 from the -- I call that mid-double digits.
Magdalena Moll: So now we are coming to Jaideep Pandya from Berenberg. Good morning, Jaideep.
Jaideep Pandya - Berenberg, Research Division: Just a question really on the Other line. So if I just strip out the long-term incentive program, then the Other line was around EUR 327 million, and The Street was sort of modeling before the numbers came today around EUR 650 million. So could you just tell us or help us model the Other line for the full year basically? Because you've basically done your whole year last year in Q1 this year, so just want to understand how this year is going to pan out in the Other line.
Hans-Ulrich Engel: Okay, Jaideep. Manfredo will take that.
Manfredo Rübens: The guidance that we've given, the outlook was a slight increase in the year 2015 compared to the last year, and we stick to our guidance. Last year, we had about EUR 570 million in the EBIT line, so expect something between EUR 600 million and EUR 700 million for the year.
Jaideep Pandya - Berenberg, Research Division: Sorry, just to make sure, so you're basically guiding for like EUR 80 million for the rest of the year in the Other line?
Hans-Ulrich Engel: Well, take out the special effect that we have. I would consider the LTI provision to -- we don't show that as a special item, but it's a special development that we have, and we always said we can't forecast what's happening with respect to LTI. It simply does not just depend on share price development, it also depends on the relative development that we have of our share price to MSCI Chemical World Index, and it's extremely difficult to forecast.
Magdalena Moll: So the next question now comes from Oliver Schwarz from Warburg Research.
Oliver Schwarz - Warburg Research GmbH: I wonder if you could shed some light on the increase in selling expenses and general and administration expenses, which were both up by roughly 10%.
Hans-Ulrich Engel: Yes. And there is an -- Oliver, there is an easy explanation for that. We have not stopped with our fixed cost management. It's simply the result of foreign exchange. If you think about where outside of the eurozone we have sales cost and where we have, let me see, SG&A cost, in particular, in North America and also in Asia, and you've seen the currency developments there. Yes, that is the explanation.
Magdalena Moll: So now we are moving on to Laurent Favre from Bank of America Merrill Lynch.
Laurent Favre - BofA Merrill Lynch, Research Division: Two, I guess, boring questions. First one is on the minority line. I was just wondering if the Q1 level of minorities is purely reflecting the profitability of, let's say, Port Arthur and the Oil & Gas businesses, or whether within that number, there's a bit of an exceptional item as well. In other words, if we continue to -- if we assume that the Q1 profitability is here to stay, should I assume that, that managed level is here to stay as well? The second question is also on the tax rate, I guess, and again, boring. But just wondering there, again, if the Q1 level, if there was anything exceptional in that Q1 number, which was a bit high given the absolute level of profitability in Oil & Gas, at least to me.
Hans-Ulrich Engel: Okay. Now the first part of your question or the first question, on minorities. You see an increase there. And yes, that's driven by Port Arthur. But to a larger extent, it's actually driven by our gas trading business and the participation there. When you look at our gas trading business, and you see an increase in EBIT there of over EUR 100 million, that is actually the explanation. Maybe 1 word to that. I'd say, in Q1, the stars aligned perfectly for our gas trading business. We also had an impact there of price revisions, so don't expect that on that level to go forward. And I think they are not because we are now entering the low season for the gas trading business. So long answer short, yes, it's predominantly Oil & Gas and the gas trading. On the tax rate, we have an increase there of almost 5 percentage points. Keep in mind, please, that last year, we had tax-free income from the divestiture of Oil & Gas activities of, if I recall that correctly, EUR 130 million. We don't have that effect in -- or a comparable effect in Q1 of this year. And then we also had, as a result of our increased Norwegian oil production activities, higher tax impacts, and we'll need to see how that will play out during the course of this year. It could well be that as a result of the higher Oil & Gas production that we have, that we see a slight increase in our tax rate. But again, give us a quarter more, and we'll have a clearer picture on what's been happening overall.
Laurent Favre - BofA Merrill Lynch, Research Division: Okay. So with this kind of EBIT, we should have this kind of EPS, is the other way to think about it. I'm just asking given that there was such a big debt.
Hans-Ulrich Engel: I'd say not necessarily in the tax rate of almost 30%. It seems to be a little bit on the high side.
Magdalena Moll: So then we come to Patrick Lambert from Nomura.
Patrick Lambert - Nomura Securities Co. Ltd., Research Division: A quick question on Oil & Gas. In particular, I think the -- here, again, a very good business. I think you talked about the gas trading. Would you comment a bit more on the increase of production on the exploration part of the business and what you see for the full year in terms of copper production that you're targeting in that segment?
Hans-Ulrich Engel: Sure, happy to do that. We had production of 136 million barrels of oil equivalent last year. The guidance that we're giving for the year 2015 is we're targeting 160 million barrels of oil equivalent for the year 2015. What are our expectations? Or what's driving that? The following factors: One, as you may know, we've done a transaction with Statoil in the fourth quarter of last year, which comes with a nice amount of new reserves. But it also included 20,000 barrels per day additional production. We were able to start up our production in Libya in the middle of February, currently producing there worth 30 -- let's say, roughly 30,000 barrels per day. And the assumption is that we can continue on that level or even increase it. But in all honesty, the situation there is so difficult that I can only tell you we have that in our forecast, but we will need to see what's going to happen during the course of the year. And then what's also driving the increase in production is the development of the Achimov 1A field in Western Siberia and our Achimgaz joint venture, which should also give us additional production in the year 2015. And that then builds the bridge from 136 million to the 160 million that we're targeting for 2015.
Patrick Lambert - Nomura Securities Co. Ltd., Research Division: And in Q1 '15, were you above the quarterly run rate of this 160 million because of Libya, in particular?
Hans-Ulrich Engel: We were above the quarterly run rate that we had in 2014, Libya contributing to that, but also the additional production that we have in Norway and, to a small extent, incremental production in Western Siberia.
Patrick Lambert - Nomura Securities Co. Ltd., Research Division: I was talking more about the 40 million -- the 40 mboe...
Hans-Ulrich Engel: Oh, the increase?
Patrick Lambert - Nomura Securities Co. Ltd., Research Division: Run rate '15. Were you above that run rate slightly?
Hans-Ulrich Engel: Well, we need to move that run rate up a little bit in order to achieve our 160 million target. But as I mentioned, we were only able to start production in Libya. And now it was either on the second or on the 24th of February, so let's say, towards the end of February. So we didn't produce the first 7 weeks.
Magdalena Moll: Thank you, Patrick. And now we are moving to the second round of questions. We have 2 more questions from Andreas Heine first and then Oliver Schwarz, and then we also have to conclude the call. So first, Andreas.
Andreas Heine - Barclays Capital, Research Division: It is basically on Oil & Gas again. So if I refer to what you just said then, Q1 was pretty normal in Oil & Gas. So if you look on how the environment of oil price, ruble and what have you, is then the Q1 gives us exactly the number what we can expect per quarter if volume would not change. That's the first. And maybe also referring to the Others line and what you have answered there. So my understanding would -- from your answer before, that the Others line, without any stock option and without any FX hedges, is roughly minus EUR 150 million a quarter. Is that right?
Hans-Ulrich Engel: Start with your second question. Yes, that is about right. EUR 600 million, as always, in Other, difficult to say. But without the LTI impact, roughly EUR 600 million is -- looks like a good figure. On Oil & Gas, Andreas, is that a normal quarter? I think, if I recall that correctly, our average oil price in Q1 was $54, so we saw a decline there compared to prior year first quarter of 50% in euros. It was -- I believe it was at EUR 80 and dropped to EUR 49. We've seen some improvement in the meantime in the oil price. And I think, with all the volatility that we've experienced there in the first 3 months, it is difficult to give you something where we really can say, "Okay, that's what Hans told me. And now I can put my money in the bank on that basis."
Andreas Heine - Barclays Capital, Research Division: That is what I was not looking for. I was just -- they have so many moving parts. And even if you have given us a guidance for the full year impact of the U.S. -- of the oil price, the gas price has changed a lot, and we do not know exactly how the split is in Russia and between domestic and export and how the buying is there. Then we have the U.S. dollar movement, the oil price. And basically, to call this a worst-case scenario, if everything comes together and the outcome is the earnings of Q1, that's basically what I wanted to know, or whether there is any money in there, which I have to have in mind if I do the forecast for the coming quarters.
Hans-Ulrich Engel: I think what's clearly helping us is the split that we have between Oil & Gas, which is roughly 25% oil liquids and 75% gas. What you have in the segment, and I alluded to that carefully, is certainly an extremely strong development in our gas trading business. And I call that perfect alignment of the stars, so don't expect that to repeat itself. And when we talk about Q1 next year, don't hold my feet to the fire because Q1 next year will not be as solid a gas trading business as the exceptional first quarter that we've seen in gas trading this year.
Magdalena Moll: Sorry, now we come to the final question from Oliver Schwarz from Warburg.
Oliver Schwarz - Warburg Research GmbH: To elaborate a bit more -- or want you to elaborate a bit more on the gas trading business because I may be the only one, but I still have problems forecasting right numbers for the gas trading business. After the decline in Q4 2014 numbers, as you said, driven by the Goldilocks scenario, and Q1 2015 clearly excelled, is there any, let's say, limit to the volume increase you could do over the next years or so to come? Or is that basically capped by the capital you want to allocate to that business as it is a trading business?
Hans-Ulrich Engel: Yes, yes, we've seen very strong volume increase in Q1. I think it's fair to say that what we've seen there is an exception, and I don't think that we will see this really repeating itself. We had the opportunity to enjoy certain consolations here, which I think, the only explanation that I can give on that are exceptional, so don't expect that to repeat itself.
Oliver Schwarz - Warburg Research GmbH: Yes. But is there an underlying volume we would or could expect for the next years -- for the full year, for example -- to use as a basis of calculation? Or is that just too choppy over the years or the quarters?
Hans-Ulrich Engel: It depends. It depends on the opportunities out there. We've increased our spot business significantly in Q1 due to these opportunities that presented itself. So giving you a guidance here, Oliver, would actually not make enough sense.
Magdalena Moll: So with this, ladies and gentlemen, this brings us to the end of our conference call. We will next report on our second quarter 2015 results on July 24, 2015. Also, as a reminder, we would like to invite you to our 2-day investor event on September 28, and 29, 2015. And this year, it will take place at our headquarters in Ludwigshafen. You know we mark the 150th anniversary of BASF. Until the Investor Day, we'll focus on demonstrating the strength of BASF Group as 1 company as well as providing you with access to senior and operational management. Additionally, we will be highlighting the innovation power of BASF as well as introducing you to the Verbund site. And here, we'll definitely show you all our new facilities that have come onstream. And you will receive a formal invitation for the Investor Day at the beginning of next week, so please check your email. With this, I would like to say thank you for joining us today. And should you have any further questions, please contact any member of our Investor Relations team, and we will be happy to help you. Goodbye from all 3 of us, Hans, Manfredo and myself, and have a good day.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.